Operator: Welcome, everyone to the Ideanomics Second Quarter Earnings Conference Call. Joining me today, I am pleased to have Mr. Alfred Poor, Chief Executive Officer; Mr. Scott Morrison, Chief Financial Officer; and Mr. Robin Mackie, our Chief Operating Officer. The recording of today's call will be archived and available in the Events and Presentations section of our corporate website for a minimum of 30 days. During this call we will make forward-looking statements such as dialogue regarding our revenue expectations or forecasts for the remaining quarters and the full fiscal year 2023 and 2024. These statements are based on our current expectations and information available as of today, and are subject to a variety of risks, uncertainties and assumptions. Actual results may differ materially and as a result of various risk factors that have been described in our periodic filings with the SEC. As a result, we caution you against placing undue reliance on these forward-looking statements. We assume no obligation to update any forward-looking statements as a result of new information or future events, except as required by law. In addition, other risks are more fully described in the Ideanomics public filings with the U.S. Securities and Exchange Commission, which can be viewed at www.sec.gov. Today, August 25, 2023, the company is filed with the SEC it's Form 10-Q for Q2, 2023 and afterwards issued a press release announcing those financial results. So participants of this call who may have not already done so may look at those documents as we provide a summary of the results on this call. The format of today's call will be as follows. Mr. Alf Poor will begin our comments today, and speak to the company's progress and strategic developments. Mr. Scott Morrison will then speak to the company's operating and financial results for the second quarter 2023. And Mr. Robin Mackie will speak to the company's operational activities. Mr. Poor will then make management's closing remarks. I'll now hand the floor over to Alf Poor, Ideanomics CEO.
Alf Poor: Thank you, Tony, and thank you to everyone joining our Q2, 2023 earnings call today. It is only been a few weeks since our Q1 earnings call, so I don't want to go over the same material that we recently covered. I'm going to let Robin and Scott provide the detail and focus on the company's operating results, and the recent strategy behind those results. As you'll see in today's results and heard on the Q1 call, we are finalizing a reorganization of the business to focus on the last mile, and local delivery vehicles, and associated charging products. This means we are putting most of our emphasis on VIA Motors and the market opportunity that affords the company, and its shareholders. This market segment, we have identified with the Via Motors fully electric skateboard and cab chassis configurations, will enable us to sell the three well defined customer demographics: direct sales to fleet operators, sales of our skateboard and or cab chassis to body builders and operators, and the licensing of our industry leading and cost efficient electric skateboard to OEM. We believe that this renewed focus will be essential to our success as it ensures we operate in a disciplined manner with the entire team, and resources focused on this goal. To validate our strategy and focus, we are in late stage discussions or already have agreements in place with multiple customers and partners in each of these categories. Our products are extremely well received, which provides us with the conviction to execute on this strategy, such that we begin to demonstrate value to our shareholders. I will now hand you over to Scott Morrison who will take you through our financial results for the quarter.
Scott Morrison: Thank you, Al, and thank you to everyone listening to this call. As mentioned previously, we have taken steps to divest Timios and wind down our China operations. Therefore, during the second quarter of 2023, these business components met the criteria for classification as discontinued operations and are no longer presented as continuing operations in this 10-Q filing. Assets and liabilities associated with these components are presented in our consolidated balance sheets as discontinued operations. The results of operations related to these components are included in the consolidated statements of operations as loss from discontinued operations net of tax. The cash flows of these components are also presented separately in our consolidated statements of cash flows. All corresponding prior year periods presented in our financial statements and related information in the accompanying notes have been reclassified to reflect a discontinued operations presentation. Revenue for continuing operations in the quarter was $8.2 million, 13% lower than the same time last year. Revenue for continuing operations for the first half of '23 was $13.8 million, 19% higher than the same period last year. As we've exited the Timios' title and escrow business, and the China market, essentially all of this revenue is from sales of EV-related and charging-related products and services in our core markets of North America and Europe. Gross profit from continuing operations was $0.7 million, representing a gross margin of 8.4%. This is an increase of roughly $1.2 million compared to a loss of $0.5 million last year. Operating expenses excluding impairments from continuing operations for the quarter was $32.7 million, down 15% from the $38.4 million in the first quarter. This is in large part due to the cost reduction and operational efficiency measures Robin spoke of during our previous conference calls. I'd like to hand this over to Robin Mackie, Chief Operating Officer who will discuss our operations in more detail.
Robin Mackie: Thank you, Scott. As mentioned a few weeks ago, our quarter one earnings call, whilst market conditions have remained challenging, my focus remains on improving efficiency across the business to make progress on product development and order books despite the capital constraints. We continue to reduce costs at both the corporate and operating company levels. This is starting to become apparent in our quarter two results, with the steep reduction in operating expenses, as mentioned by Scott earlier. It is our intent to continue to review, our costs on a regular basis. As mentioned before, whether our strategic and financial cases to do so, we intend to sell or seek direct investment in our operational businesses to return value to our shareholders. We've initiated this process with several of the businesses already. Given that we've spoken about our focus being on last-mile delivery vehicles and the associated charging products, businesses like Energica and Solectrac fall outside of that focus. We've begun work with advisors and potential investors to evaluate if the sale of those businesses would produce suitable returns for our shareholders. With WAVE charging and U.S. Hybrid being more aligned to our future strategy, we've begun speaking with potential strategic investors to provide non-dilutive capital to enable further growth. In particular, following the previously mentioned consolidation of our charging assets and IP into WAVE charging, we see an opportunity with strategic investors with extensive knowledge of the global charging market, complimentary products and synergistic IP to reinforce WAVE's position as a global leader in the high car inductive charging market. Despite market conditions and the capital constraints, the management teams at each of our businesses have worked diligently to ensure they continue to make progress. Now, back to Alf for closing remarks.
Alf Poor: Thank you, Robin. 2023 has been a challenging year for all of the commercial EV industry, and the decisions we have taken this year, see Ideanomics as a much leaner, more efficient organization which is able to execute on its business objectives, and position us for success. Thank you all for tuning in today and from everyone at Ideanomics, thank you for your continued interest and support.
Tony Sklar: This is all the time we have for today. This concludes the Ideanomics Q2, 2023 Investors Earning Conference Call. We encourage our community to continue to reach out so we can answer any questions that you have individually. You can send those questions to ir@ideanomics.com. We would like to thank our listeners, shareholders, and analysts, and others who have taken the time to listen to our earnings call. We urge you to refer to the SEC's latest filing for any information that you need. This call will be available on the website in the Investors section and you can find the link there. To be alerted to news, events and other information in a timely manner, we recommend you following us on social media, sign up to our newsletter and explore our website at www.ideanomics.com. Thank you, everyone, for participating and listening to the call today.
Q - :